Operator: Good morning and welcome to the Allegro MicroSystems First Quarter Fiscal 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation there will be question and answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over Jalene Hoover, Vice President of Investor Relations and Corporate Communications, Allegro MicroSystems. Please go ahead.
Jalene Hoover: Thank you, Steve. Good morning and thank you for joining us today to discuss Allegro's first fiscal quarter 2025 results. I'm joined today by Allegro's President and Chief Executive Officer, Vineet Nargolwala and Allegro's Chief Financial Officer, Derek D'Antilio. They will provide highlights of our business review our quarterly financial performance and share our second quarter outlook. We will follow our prepared remarks with a Q&A session. Our earnings release and prepared remarks include certain non-GAAP financial measures. The non-GAAP financial measures that are discussed today are not intended to replace or be a substitute for our GAAP financial results. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our earnings release, which is available in the Investor Relations page of our website at www.allegromicro.com. This call is also being webcast and a replay will be available in the Events and Presentations section of our IR page shortly. During the course of this conference call, we will make projections and other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution that such statements are based on current projections and assumptions as of today's date and as a result are subject to risks and uncertainties that could cause actual results or events to differ materially from projections. Important factors that can affect our business, including factors that could cause actual results to differ from our forward-looking statements are described in detail in our earnings release for the fourth quarter and fiscal year 2025 and in our most recent periodic filings with the Securities and Exchange Commission. Our estimates expectations or other forward-looking statements may change and the company assumes no obligation to update forward-looking statements to reflect actual results, changes to assumptions or other events that may occur, except as required by law. I is now my pleasure to turn the call over to Allegro's President and CEO, Vineet Nargolwala. Vineet?
Vineet Nargolwala: Thank you, Jolene, and good morning, everyone. Thank you for joining our first quarter fiscal year 2025 conference call. We delivered results towards the higher end of our commitments while making progress on inventory rebalancing across automotive and industrial markets. Q1 sales were $167 million above the midpoint of guidance, and non-GAAP EPS was $0.03 at the high end of guidance. During the first quarter, we made progress reducing inventory in direct and distribution channels. We believe that inventory rebalancing in automotive will continue into our second quarter and customers are returning to a more normal ordering pattern, which we expect to drive low double-digit growth in the second quarter sales. While industry estimates project a slight decline in calendar year 2024 automotive production, we remain encouraged with the estimates for continued double-digit growth in XEVs, which includes battery electric vehicles and full hybrids. Our industrial outlook reflects the impact of higher interest rates and ongoing inventory digestion. We believe that our industrial and other sales are hovering at the bottom and remain cautiously optimistic about a potential recovery in the second half of our fiscal year, though a return to normal could be well into fiscal year 2026. As we manage, Allegro through the recovery, we remain excited about the fundamentals that are driving our end markets, the opportunities that are available to us. We continue to invest for growth and remain focused on those aspects of the business that we control. To that point, we continue to execute a product and technology roadmap with some major new product introductions in Q1. During the quarter, we announced the launch of the third product in our high-voltage power through portfolio. Allegro's two-chip isolated gate driver IC solution works with external transformers to provide the freedom to design and maximize power efficiency for clean energy applications, such as solar inverters, xEV charging infrastructures, energy storage systems, and data center power supply units. In our sensor portfolio, we launched new sensor solutions to replace traditional shunt resistors. Our newest plug-and-play sensors provide customers with smaller designs, cooler operation, a lower bill of materials, and simplified implementation to reduce design cycle time. This resonates strongly with customers in fast-growing applications like ADAS, renewable energy, and industrial automation, positioning Allegro for continued success in these markets. We also highlighted our market-leading 48-volt portfolio, which continues to gain traction in automotive and industrial applications, enabling more efficient power supply. Allegro's 48-volt solutions are used today by the leading North American xEV OEM, and we are finding increasing application in the data center market. Our roadmap calls for continued expansion, with more 48-volt products expected to hit the market in fiscal 2025. Based on third-party 2023 data, we increased our leadership position in magnetic sensing. The increase in our leadership position is a direct result of our relentless drive to innovate. At Allegro, we take great pride in our market-leading magnetic sensing position. As our solutions continue to build momentum across strategic growth areas, I will share a few highlights from our first quarter design wins. In automotive, we had a multi-portfolio win with the North American OEM for a steering system using our power and magnetic sensor IC solutions. In industrial, our high-voltage power portfolio was awarded its first win with a European solar manufacturer for microinverters, and we secured a large design win using our TMR technology for blood glucose monitoring. During the quarter, we released our second ESG report, where we highlighted Ambitious 2030 goals that align with global sustainability trends and focus on renewable energy, gender diversity, and global pay equity. Before closing, I'd like to say a few words about the recently announced transaction to repurchase shares from our largest shareholder, Sanken, who had owned a majority of Allegro since 1990. This event marks the first time in nearly 35 years that Allegro has not been controlled by another company and opens a new chapter in our journey of growth and transformation. The transaction also brings significant governance improvements. Sanken reduced the board presence by one seat immediately after falling below majority ownership, and no Sanken appointed Director can chair any of our Board committees. Our updated shareholder agreement also lays out a transition path for Sanken's presence on our Board commensurate with their ownership. The reduction in Sanken ownership, combined with the departure of one equity partners from Allegro, enables us to be completely independent in our strategies and actions. I'm very thankful to our teams and advisors for the hard work over the past few months to plan and execute this transaction. We believe the increased liquidity, improved governance and clarity and certainty about our future will act as a catalyst for further value creation and the timing couldn't have been better. With an improving cycle on the horizon, we are poised for reacceleration towards the goals outlined in our target financial model. I’ll now turn the call over to Derek to review the Q1 financial results and provide our outlook for the second quarter. Derek?
Derek D'Antilio: Thank you, Vineet, and good morning, everyone. I'll start with a summary of our Q1 financial results. Sales were $167 million, gross margin was 48.8%, operating income was 6% and adjusted EBITDA was 13% of sales. As a result, earnings were $0.03 per share at the high end of our outlook range. Each total Q1 sales declined by 31% sequentially and by 40% compared to Q1 of fiscal 2024. Sales to automotive customers were 131 million, a decline of 28% sequentially and 29% year-over-year and represented 79% of our Q1 sales. E-mobility sales were $62 million, declined by 31% sequentially and 30% year-over-year to represent 48% of first quarter auto sales. Effective in the first quarter of fiscal year 2025, we are combining what we historically referred to as other sales into industrial and other sales. Industrial and other sales were 36 million in the quarter, declining 39% sequentially and 62% year-over-year. Sales through our distribution channel were $81 million, a decline of 36% sequentially and 48% year-over-year and represented 49% of our Q1 sales. We continue to monitor channel POS sell-through, which has been higher than sell-in to help manage distributor inventories to appropriate levels. From a product perspective, magnetic sensor sales were $115 million, declining 21% sequentially and 34% year-over-year. And sales of our power products were $52 million, declining 45% sequentially and 50% year-over-year. Sales by geography were again well-balanced with 24% of sales in Japan as well as the rest of Asia, 19% of sales in China, 17% in the Americas and 16% of sales in Europe. Now turning to Q1 profitability. Throughout Q1, we continue to manage the inventory reductions in both channels carefully while focusing on profitability and cash flow. Gross margin was 48.8% and operating expenses were 71 million. Operating margin was 6% of sales compared to 23.8% in Q4 and 31% a year ago. The effective tax rate in the quarter was 10%. And the first quarter diluted share count was 194.7 million shares. Net income was $6 million and $0.03 per diluted share. Moving to the balance sheet and cash flow. We ended Q1 with cash of $184 million, cash flow from operations was $34 million and free cash flow was 23 million or 14% of sales in a trough quarter. From a working capital perspective, DSO was 35 days compared to 45 in Q4. Inventory dollars increased by 40 million, largely in wafer in Dibang [ph] in days of inventory were 174 days compared to 126 days in Q4, increasing largely as a function of the decline in sales. Capital expenditures in Q1 were 100 -- were $11 million. And before I discuss our Q2 2025 outlook, I'd like to take a few minutes to provide some more details about the recent share repurchase from our largest shareholder. This is an important transaction for electrical and its shareholders. It will reduce its ownership from 51% pre transactions to approximately 33%, resulting in 30% more free flow and a net reduction of approximately $10 million or 5% fewer shares outstanding. And as Vineet mentioned, it also brings with it significant governance benefits to Allegro shareholders. I'll now highlight a few key details of the transaction. Post-transaction, Allegro's outstanding share count will have decreased from 194 million shares to 184 million shares. In terms of transaction mechanics, we will have repurchased 39 million shares from Sanken and retire those shares. The repurchase was funded with a combination of an equity issuance of almost 29 million shares and an incremental term loan of $200 million, as well as cash on hand. Our pro forma gross and net leverage on a trailing 12-month basis is 1.4x and 0x, respectively. Sanken has agreed to reimburse Allegro and Allegro shareholders for all transaction expenses and pay Allegro $35 million facilitation fee. We also expect this to be accretive on a non-GAAP basis within fiscal year 2025. We also reiterate our commitment to continue to make accelerated and voluntary debt payments with excess free cash flow as demonstrated by the $50 million voluntary payment made in Q1. In addition, we are taking this opportunity to reprice the entire term loan balance of $400 million from SOFR plus 275 basis points to SOFR plus 225 basis points. Finally, in connection with this transaction, Allegro's S&P corporate rating has been upgraded from B plus to BB minus. We believe the favorable debt repricing and the ratings upgrade are reflective of the strength and resilience of our business model and our conservative balance sheet management. Now I'll turn to our Q2 2025 outlook. We expect second quarter sales to be in a range of $182 million to $192 million, implying 12% sequential growth at the midpoint of this range. We also project the following on a non-GAAP basis, we expect Q2 gross margin to be between 49% and 51%, reflecting a sequential increase of 120 basis points at the midpoint. We expect interest expense in the second quarter to be approximately $7 million. We expect our tax rate to be approximately 10%. And our weighted average diluted share count to be approximately 191 million shares, reflecting the repurchase transactions. The weighted average share count reflects the timing of these transactions within Q2, and we expect the diluted share count to reduce further to approximately 184 million shares in Q3. As a result, we expect non-GAAP EPS to be between $0.04 and $0.08 per share. And exclusive of the incremental interest expense associated with the recent share repurchase estimated non-GAAP EPS at the midpoint of our outlook range would be $0.08 per share. Now I'll turn the call back over to Jalene for questions. Jalene?
Jalene Hoover: Thank you, Derek. This concludes management's prepared remarks. Before we open the call for your questions, I'd like to share our second fiscal quarter conference lineup with you. For your attending Needham's 5th Annual Needham Virtual Semiconductor & SemiCap One-on-One Conference on August 22nd, Jefferies Semiconductors, IT Hardware & Communications Summit on August 27th at the Four Seasons Hotel in Chicago and Evercore's ISI Semiconductor, IT Hardware & Networking Conference on August 28th at the Omni, Chicago. We will now open the call for your questions. Steve, please review Q&A instructions.
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions] Our first question comes from the line of Chris Caso of Wolfe Research. Your line is now open.
Chris Caso: Yeah. Thank you. Good morning. I guess the first question is with regard to customer inventory levels and sort of the progress in getting multi-channel all now your automotive customers in line, you expressed an intention last quarter and take down inventory pretty aggressively. We've heard from others in the space that the targets for those of automotive inventories appear to be coming lower, some of what you're seeing and the progress that you've made in the quarter?
Vineet Nargolwala: Yeah, hi, Chris, this is Vineet. Thanks for the question. So I would categorize our progress on inventory is as expected. Okay. And as we highlighted in our last, first quarter or the last earnings call, we think on average within the automotive channel, which is largely derived through tiers and contract manufacturers, inventories have come down roughly four weeks. Now some tiers and contract manufacturers are ahead of that somewhere, obviously behind. And I would say that every customer, every partner has deferring goals. But I would say broadly, we've made substantial progress in bringing inventories down. Within the industrial business which is largely sold through distribution. I would say it's more of what regional lens, where some of the regions would stay with slightly higher level, which is what is typical, for example, in Japan. But in places like China, in North America, we've made some substantial progress in bringing the inventory down. So overall, I would say I'm really pleased with the progress that's been made. As you remember, we intentionally under shipped in Q1, with the aim of helping our distributor partners and our channel partners and tiers really worked down their inventory very aggressively. And so we think that that's largely done. Some of this is going to, as I said in my prepared remarks, we'll continue to see due to obviously, but we believe that we've made substantial progress here from the inventory balancing.
Chris Caso: Got it. Just as follow-on to that, given the fact that you expect that there's still some inventory that needs to be worked down in the September quarter. What does that imply for the December quarter with the assumption that, you're still burning through inventory. You're still under shipping demand? What kind of view can you give us on the December quarter on that basis?
Vineet Nargolwala: So, Chris, we are obviously not guiding for the December quarter, right? But if you go back to our comments that we made in the prior earnings call, there has really been no change to our assumptions that underpin that those comments. And we're pleased that we are able to get back to sequential growth here in this coming quarter.
Chris Caso: Thank you.
Vineet Nargolwala: Thank you.
Operator: Thank you. The next question comes from the line of Blayne Curtis at Jefferies. Your line is open.
Blayne Curtis: Good morning. Thanks for let me ask a question. I just was curious when we're looking at the recovery here if you can just help us for the September quarter. I'm just kind of curious between now your two segments, where you're seeing the most recovery.
Derek D'Antilio: So Blayne, this is Derek. I'll start with it by sort of market or application, which is the way we look at it. The majority of that recovery or sort of increase from Q1 to Q2 is automotive. We still see industrial and some consumer markets or other markets being relatively muted, but things like data center and other areas that have had some more inventory to be digested over the next couple of quarters.
Blayne Curtis: Got you. And then..,
Vineet Nargolwala: And Blayne, I would just add that this is as expected, where we expected that once the automotive tiers and contract manufacturers would be done with their digestion, we would get back to normal ordering patterns. The end market in automotive continues to be pretty stable, whereas in industrial, and we've said this before, the inventory digestion has been coupled with muted demand in certain pockets, while there are other smaller areas of industrial that continue to show some growth. And so that's what's reflected in our guide for Q2.
Blayne Curtis: Thanks. And then maybe just following up on the prior question. I wanted to ask just in terms of the automotive market. You've seen outlooks for demand kind of tick down a bit. So it seems like for others, the correction is taking a bit longer. You had a very extreme correction in June and you're always very confident on some sort of recovery in September. So you're seeing a little bit different trends maybe because of the depths of that correction. But I'm just kind of curious how your kind of outlook for auto has changed over the quarter?
Vineet Nargolwala: Yeah. Blayne, you'll remember that we stay focused on the mid- to long term. And for us, whether automotive production or SAAR goes up a couple of percent or it goes down a couple of percent, it really doesn't change what we do and how we invest. We remain encouraged by the continued double-digit growth in xEV production and sales. And when we look at the latest estimates, they're still calling for more than doubling of xEV production and sales by 2030. And the programs we work on, the programs we're getting awarded by our customers that our customers trust us and our products to support their platforms, they're still all very much focused on significant growth in xEV platforms. So that's really what underpins our business fundamentals. And the quarter-to-quarter perturbations, frankly, aren't as important to us.
Derek D'Antilio: And Blayne, this is Derek. You're absolutely right that there's going to be differences between companies in the market, right? We took a severe downturn in Q1. A lot of that is us working with our customers directly to help manage those inventory levels down and undershipping. Some of our partners have managed it differently throughout the last couple of years, so the trajectory up and down is a bit different people.
Blayne Curtis: Thanks, guys.
Operator: Thank you. Our next question comes from the line of Quinn Bolton at Needham.
Quinn Bolton: Hey, guys. I just wanted to follow up on Blayne's question there. One of your peers at Mobileye this morning talked about lower volumes in the second half in part due to the recent EU tariffs on Chinese vehicle manufacturers. Just wondering if you're seeing that as something that has been a recent change or whether that's incorporated in your sort of outlook for a modest low single-digit reduction in auto production globally this year?
Vineet Nargolwala: Quinn, this is Vineet, thanks for the question. So maybe there are two parts to this, right. So we don't really see the impact of tariffs in Europe really impacting how our Chinese customers are behaving or driver and growth for the overall business. I think I've shared earlier -- in earlier calls that we are really exposed to every Chinese OEM, every one of the world, the top 10 Chinese OEM, density Chinese OEMs, and we have great geographical diversity in our business as well. And so we feel really well positioned to get secular growth as it happens with the Chinese OEMs across the world. And let's keep in mind that the tariffs, only applied to record that will be produced and shipped from China. Chinese OEMs are also setting up manufacturing in Eastern Europe. So we think that a wave they will get around it. But to the second part of your question, our guide is really reflected right now on what we believe is reflected in our order pattern in our backlog. So we don't really think that's quite a material impact on how we see things playing out.
Quinn Bolton: Great. And then maybe just to sort of the accounting question for you, Derek, can you walk me – excuse me -- through the dynamics of the share repurchase, but you mentioned that $35 million, I think you called it, the facilitization fee. And wondering how is that accounted? Is that sort of an intended to help offset some of the higher interest expense from the term alone? Is that accounted for is just a one-time payment just any help on how we should be thinking about accounting for that payment will be helpful?
Derek D'Antilio: Yes, sure. So it's a one-time payment to help facilitate this transaction so that with that not one shareholder received a benefit at the expense of all other Allegro -- parent shareholders. So in addition to that, facilation fee [indiscernible] paying all of the transaction costs, including underwriter spread our rent on the debt. But our intent is to use that payment of cash for that to pay interest and principal on our debt in a way it's being accounted globally and quite frankly, as a reduction of Apex won't even hit our P&L. And it's nontaxable that way as well.
Quinn Bolton: Got it. Okay. Thank you.
Operator: Thank you. [indiscernible] comes from the line of Vijay Rakesh from Mizuho. Your line is now open.
Q – Vijay Rakesh: Yes. Thanks, Vineet and Derek. Just a quick question. I know you mentioned Grade three magnetic sensor share up and a leading question there. The one question that isn't getting to investors during the debt is down 40% year-on-year. Let's say, if you can give us some clarity on how your market share is standing here, the EV and ADAS and how the design pipeline look, especially in orders and XTV
Vineet Nargolwala: Yes, Vijay. Just so I understand your question. You're asking about how is our design pipeline faring?
Q – Vijay Rakesh: Yes. And some more confidence around the market share here post the reset Yes
Vineet Nargolwala: So Vijay, as I referenced in my prepared remarks, a third party data shows, we've extended our market share. We're really pleased with that. And really, it's a testament to the hard work our teams to every single day to serve our customers and really deliver innovation. I would say that, you know, let's keep in mind, while we've been intentionally under shipping to our disk distributor and to the tiers, that demand is still being met by Allegro product from inventory, right? So it should have zero impact on share position. The second part of your question, which is it on our design pipeline, it continues to grow really well. We continue to win more than our fair share in the market and the applications we serve in the markets we serve, and by give some qualitative information around some of the key wins we had in the fourth quarter and will continue to provide visibility into how our backlog is growing at regular intervals. I provided some visibility in the last earnings call, but we continue to be pleased with our design pipeline and how it's growing. And it's a significant. It's an indication of how our customers trust us to continue to support them in this transition to a more electric and more down this feature.
Vijay Rakesh: Got it. And then on the gross margin slide Derek, obviously, a lot of it has to do with T -- how do you, or can you talk to how do this T-cell shipments are improving? And how do you see those gross margin progressing first in a 50%, 55%, 58% that you’ve seen historically?
Derek D'Antilio: Yeah, Vijay, so you're going from Q4 to Q1, gross margins declined by about 400 basis points. The majority of that was actually utilization. So if you look at our historical drop through our variable contribution margin, just taking the change in sales and the change in gross margin, that's between 60% and 65%. And if you project that forward, you get to our guidance gross margin midpoint for Q2, and you can kind of extrapolate that for to whatever revenue numbers you put into the next couple of quarters. And you're absolutely right. On the mix side of things, we have sort of two mix things; one, is product mix, which is a little bit weaker in Q1, but just these new mix also was lower in Q1 was 49% of sales, which was actually the lowest number it's been in the last three years, because we're obviously under shipping the distribution channel. So the biggest piece of the short-term of growing our gross margins back will be the utilization. You can use that gross margin drop through number and applied it to your sales projections, but also both product mix and distribution mix will help enhance gross margin again in the -- between now and the end of the year. And then getting to that 58% model we're still committed to over time that's going to require the three things we just talked about plus it will continue to leverage our back-end facility in the Philippines, leverage our suppliers as we get back to scale and continue to release new products that Vineet talked about, we've reduced some really exciting new current sensors team our products that start with a higher ASP.
Vijay Rakesh: Got it. Okay. Thanks a lot.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Thomas O'Malley at Barclays.
Thomas O'Malley: Thank you. So my first question is around some of the numbers you gave. I think you said e-mobility was 48% of auto, which is about $62 million. If you look at kind of how e-mobility and “your other” auto business have been tracking. E-mobility has been doing a lot better just from both -- just really a year-over-year perspective and now kind of into the June quarter both are kind of down around 30% year-over-year. Could you talk about what you're seeing there as to why those are talking the same outage? I would expect kind of the e-mobility side to track a little bit better in the recovery for the remainder of the year, would you expect one to kind of grow faster than the other, but just any color there would be helpful.
Vineet Nargolwala: Yeah. Hey, Tom, this is Vineet. I'll take that question. So keep in mind that the product ups and downs, you see here in our Q1 results are really a function of what we are shipping or under shipping. And so I wouldn't read too much into the product trends there. I would say broadly speaking, when we look at our design pipeline, more than three-quarters of that within automotive is tied to e-mobility. And so it's natural to expect that e-mobility will have a faster acceleration as we come out of this trough as we come out of this inventory rebalancing period. And certainly, as we look to the future, we would expect the e-mobility sales to continue to trend higher.
Thomas O'Malley: Helpful. And then if I look at the geos you gave as well, I think I caught that China was 19% of revenue. That looks like it's down about 50% sequentially. In terms of your China revenue, is that mostly auto or industrial? And I just wanted to make sure that there wasn't a correlation between the drop in China and potentially the weakening EV side. Any kind of color on where that China weakness came from would be helpful. Thank you.
Vineet Nargolwala: Yeah. Tom, it's related to what I just said earlier. It's an artifact of us undershipping very significantly into the China market. China is largely served for distribution, both our automotive from a fulfillment standpoint as well as our industrial business in China gets served for distribution. And that's where we really wanted to inflect a significant inventory rebalancing, if you will. And so I think China bore a brunt of that inventory correction in Q1. And so, I wouldn't read too much into it other than we have successfully taken out a big chunk of inventory in the China region. And that now sets up really well as we look to the coming quarters. Hopefully, that answers your question.
Operator: Thank you. Our next question comes from the line of Joshua Buchalter at TD Cowen. Joshua, your line is now open.
Joshua Buchalter: Hey, guys. Thank you for taking my question. I wanted to follow up on the earlier comments about gross margins. So I totally understand that underutilization is sort of driving the headwinds now. But how should we think about that unwinding over the next few quarters? And also, is there any lingering impact? And can you remind us on how Crocus' margins should start to layer in over the next several quarters? And do you still feel confident you can get back to that mid-50s level by the end of the fiscal year? Thank you.
Derek D'Antilio: Yeah, Joshua. So, as I just talked about a few minutes ago, really the way to think about the utilization is the last two years, we've put in place a significant amount of capacity at a Philippines facility. And CapEx was running, 12%, 13% of sales. That's down to 7% in Q1, and it's expected to revert towards our model of about 6% as we don't need the capacity of CapEx, there'll be some unique things. But we have a significant amount of capacity, and the majority of the declining gross margin from Q4 to Q1, the 400 basis points, the majority of that was utilization. And if you kind of look at the change in revenue versus the change in margin, there's about 65% drop through, and that's historically been around the number 60 to 65%. So if you extrapolate that forward, you look at that for Q2, that's about on our Q2 guidance at the midpoint. Mix will play a factor to the extent that you have positive product mix, positive distribution mix will all start to work its way back. So yes, that gets us back to that kind of Q4 level of gross margin by the end of this fiscal year.
Joshua Buchalter: Got it. Thank you for that color, Derrick. And then maybe you have a bigger picture one, I don't think it has the lockup and the Board seats thresholds that are still below the 33% level. But is there any change long-term, any once we get through this lockup, do you expect Sanken to continue to want to monetize our position? Or do you think that it's important to them to keep the strategic relationship with Allegro longer and beyond the lockup period? Thank you.
Vineet Nargolwala : Thank you. Josh, this is Vineet. Thanks for the question. Obviously, this question is best posed to Sanken. I can relay what our conversations have been around, which is they continue to really enjoy the strategic relationship. And they've taken a really big chunk of their value in Allegro and monetized it in this transaction. And the reason for that large transaction here was to make sure that they had enough capital to meet all of their needs for some time to come. Having said that, obviously things are dynamic, they can change, and they'll have to make their determination once they get out of the lockup period. But certainly from our perspective, we are pleased with this transaction and what it means for Allegro shareholders.
Joshua Buchalter: Understood. Thank you, Vineet. I appreciate the color there.
Operator: Thank you. Our next question comes from the line of Mark Lipacis at Evercore ISI. Mark, your line is now open.
Mark Lipacis: Great. Thanks for taking my question. Two questions, actually, if I may. The auto business is now pushing about 80% of revenues, I think, and historically it's been in the 70% range. Is this just an artifact of an inventory, of what's going on in inventories in the supply chain? Would you expect kind of steady state to be in the 70% range, or should we think differently about that mix? And then I had a follow-up, if I may.
Vineet Nargolwala : Yes, Mark, this is Vineet. You're exactly right. I think we shouldn't read too much into product or segment trends just for this quarter, because we've been working very hard with our customers and partners to really draw down inventory, and that's obviously been very different for each customer, each partner. I would expect that as things sort of normalize, we should get back to more of a traditional mix. However, from quarter-to-quarter, things do vary, right? And it depends on really a function of the order pattern as opposed to a strategic intent to grow one area over the other.
Mark Lipacis: Got you. That makes sense. And then the second question on distribution inventories, how should we think about or how do you think about what the right level should be? I think if I remember correctly, you had taken them down and then you started to restock the channel now you’re destocking. How do you think about going forward? Is there like a steady state level that you'd like to have on a days basis in this channel? Or do you think about different times of the cycle you want to have different levels there? Can you just help us think about longer terminal how you think about the distribution inventories in the right levels? Thank you.
Derek D'Antilio: Yes. Mark in the past, we've talked about ideally having 8 to 12 weeks in a distribution channel and in any given time that will vary by region. Some regions like Japan like to carry more inventory. We're still stocking that channel, quite frankly, as we've moved away from saying in the last year-and-a-half. Other regions, as you remember, going back two years. So the trough is that about four weeks, three weeks, which was very difficult for everybody. And as often happens, we’re above those levels right now. We expect to get back into those levels over the next couple of quarters.
Vineet Nargolwala: Yes. I would just add, Mark, that distribution serves two purposes for us. One is fulfillment for some auto customers largely in Asia. And the second is serving our very fragmented broad but high-growth industrial verticals. And so, the dynamics that are very different. One of the key things that we focus on through distribution is parts availability. And so we never want to inventory to come down below the eight to 10 weeks that Derek as mentioned. So that's really the sweet spot for us. And we need to make sure that we get our partners back into that range. We've said this before, I'd say it again. We get really good data in terms of point of sale as well as the days of inventory on hand. So we're able to really guide each partner to the right level of inventory depending on the mix of fulfillment versus organic demand creation.
Mark Lipacis: Very helpful. Thank you.
Derek D'Antilio: And I'd be -- this is Derek. I'd be remiss if I didn't answer the second part of Josh's question with respect to progress [ph] margin. So progress has been largely -- almost entirely integrated into Allegro. And so we're focusing on R&D in that business. I know there are variable contribution margins are really quite acceptable above our existing variable contribution margins and we've fully absorb their OpEx. And if you look at our OpEx, it's actually down 5% year-over-year inclusive of fully absorbing progress and we're making investments in research and development. They're expected to release more parts this year than they ever have and the variable contribution margins are really healthy.
Operator: At this time, I'm showing no further questions in the queue. I would now like to hand it back to Jalene for closing remarks.
Jalene Hoover: Thank you, Steve. This concludes this morning's conference call. We appreciate you taking the time to join us.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.